Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Burcon NutraScience Corporation's Fiscal 2026 First Quarter Results ended June 30, 2025. Joining us today are Kip Underwood, Burcon's Chief Executive Officer; and Alex Varty, the company's Interim Chief Financial Officer. [Operator Instructions] Then before we conclude today's call, I'll provide the company's safe harbor statement with important cautions regarding the forward-looking statements made during this call. Now I would like to turn the call over to the CEO of Burcon, Mr. Kip Underwood. Sir, please go ahead.
Kip Underwood: Thank you, operator. Good morning, good afternoon and good evening to those on the call today, and thank you for attending our Q1 conference call. Before we get started, I would like to preface this with we hope you all walk away with 3 fundamental takeaways. First, with our production facility in Galesburg, Illinois, working with our Alliance Partner, we have proven capability. We've proven we can produce our products at a cost and a quality that fully enable our business plan. Second, the customer response to our products and the market growth for proteins, in particular, plant proteins has exceeded our expectations. Put those 2 together and the third key takeaway is, fundamentally, we are on track, we are on track to execute our business plan. Our safe harbor statement, which the operator will read. So today, we'll go through recent milestones. We'll talk a little bit about our technology portfolio. It's the foundation for our business, how we've integrated that technology into the Galesburg facility, a general customer update, why we believe this represents a tremendous investment opportunity for those on the phone today. And then we'll look ahead. What should you on the phone, what should our investors look for from us the balance of 2025. Right now, for us, it is all about execution. I mentioned we have -- we are targeting a growing market. We have proven technology. Execution is the key to our success. We frequently say that we want to say what we do and do what we say. We believe in the last 6 months, we've earned credibility in our ability to execute with the clearing of real critical milestones for our success. So if we wind back to the successful rights offering we completed a little less than 6 months ago working with our Alliance Partner, they acquired the facility in Galesburg, we completed the first commercial production of our Peazazz pea protein, followed that with executing on our capital market strategy with the 20-to-1 share consolidation. As we move forward, we've entered into a $6.8 million multiyear production agreement. And then lastly, subsequent to the quarter, we also announced the official launch and the first commercial production of our fava protein. Execution is critical to our success, and we believe we have demonstrated our ability to do so with the clearing of these milestones and absolutely expect to continue strong execution into the future. The foundation of who we are, the foundation of why Burcon can be a leader in this marketplace is our technology. Our proprietary technology that fundamentally takes the byproduct of grain processing. We upcycle that product to 90% to 95% pure protein. And it's that extra purity that really delivers our advantage in the marketplace. That extra purity delivers better flavor, better color, better functionality than the alternatives in the marketplace today. What that means for our customers, which are food manufacturers, they can, in turn, produce products that we all buy at the grocery store fortified with protein that not only deliver the nutrition we desire, but deliver the joy of eating. So in the end, again, a technology platform, upcycling grains that deliver market-leading purity, which delivers taste, flavor, functionality and color. The bulk of our efforts in Q1 was integrating that technology into the facility in Galesburg, Illinois. Within a few weeks of the acquisition by our partner, we were able to install our proprietary process, our proprietary process equipment. That was followed by the commissioning. And then really the hard work began in moving our processes from pilot to commercial scale, training of operators, tremendous amount of work, really a seamless integration from the team, from our technological center in Winnipeg with the local team in Galesburg. It was fabulous to be a part of -- I was there personally most of these days. And what -- I'm most proud of the success. Through that work, we've been able to announce and demonstrate that we can and have produced our Peazazz pea protein successfully at commercial scale. That doesn't mean once that means repeatedly, we have to deliver consistent quality to our customers. We have demonstrated that capability within the quarter. And then subsequent to the quarter, we also demonstrated that same capability with our fava protein. And this tremendous success really, all the credit goes to our team on the ground and a tremendous thank you to the team in Galesburg, the team from our technical center for their work, their dedication and their creativity. We have been very focused on successful quality and production because fundamentally, we have customers who want to buy our products. We announced the quarter we had $342,000 of revenue. I also mentioned the $6.8 million multiyear production agreement. We have strong customer interest, and we have a robust customer funnel. We get asked a lot, what does this mean? So our customer funnel mirrors our customers' decision-making process. And when a food company launches a new food that any of us buy, that's a 9- to 18-month process, and our funnel mirrors that. So what that looks like is, first, they buy -- they don't buy, we send them a couple of cups of powder as a sample. Then they buy 5 to 10 pounds. Then the customer will buy a few bags. Then the customer will buy 2,000 to 4,000 pounds, a couple of pallets. As they move through that process, they are testing our product in their process at a larger and larger scale and seeking to prove we deliver against their expectations at commercial scale. We have many, many customers that are in the bag purchase or pallet purchase stage right now and have also announced that within that, we can say and are proud to say that we have our initial pea protein commercial scale sales -- commercial sales to a customer. As we continue through this process, what this leads to is recurring revenue. Once the customer begins to incorporate our ingredients, our proteins into their product, that becomes recurring revenue, every time they produce their product for their sale, they come back and buy for us. So robust customer pipeline, robust customer projects. This is foundational to really us becoming a successful company and acquiring recurring revenue for our business. A little detail on our customer activity. In the quarter or subsequent quarter in July, we attended the IFT trade show. This is one of the largest food ingredient trade shows in the world. And we did so for 3 reasons. First and foremost, to drive customer demand, customer engagement; second, to engage with trade and media to get our name out there; and third really was to deliver what we call wow factor. At the show, we demonstrated 2 prototypes. These are prototypes we make to demonstrate the capability of our proteins. We demonstrated a cafe latte beverage with 10 grams of protein. And we had a wonderful protein fortified black bean hummus on our cracker. And we do this to demonstrate the technology and what we're really trying to deliver is wow factor. We want people to taste these products, prospective customers, industry leaders and sometimes even competition to taste these products, pause and go, wow, what an amazing product. And we can say almost and maybe without exception, we delivered that wow factor to everyone who stop by. They were blown away by the power of our technology, what it can do in foods and really that accelerated our engagement with our prospective customer base. One of the things most talked about at the show was actually plant-based cheese. So how do you make a plant-based cheese that performs like cheese? Does it melt? Does it stretch? Does it look and act like the cheese we might like on a pizza or the cheese we might like on a sandwich or the cheese we might melt in a burrito. And what we -- this is a great case study for our technology. We have been able to really crack the code with our partners in the plant- based cheese arena. And this is important because plant-based cheeses today at the retail level are about $220 million of sales at the retail level. Cheese sales at the retail level are billions of dollars. And this is where -- why our technology matters. Our technology working with our customers can unlock that $220 million plant-based cheese category to grow into the billions of dollar dairy cheese product. This is not just our opinion. The University of Guelph did a study around performance of plant-based -- market-leading plant-based cheese; plant-based cheese with our offering, in this case, our Solatein, we do it as well with our pea protein offering; and comparing that to cheddar cheese, the gold standard. And you can see in terms of hardness, melt, stretch, the numbers there say we have come for far better than any plant-based cheese out there and really knocking on the door of true cheddar cheese performance. We have an industry partner of ours, industry veteran say, people have been working on plant-based cheese for decades. Some say it's the holy grail of plant-based foods. If you can crack this with your technology, then you are fundamentally allowing and doing something that has never been done before. This is a great example of the power of our technology, not just to help companies create great-tasting foods, but then also to change categories and deliver growth for our customers, which then delivers tremendous growth for Burcon. So we have a route to market, targeting growing market. We're getting affirmation from customers, from industry that our technology, in fact, delivers. And because of this, we believe this is a tremendous investment opportunity. We are currently in Phase 1 of the graph. We are launching our products to market. Phase 2 gets us into further executing at the capacity -- through the capacity of our Galesburg facility, our partners facility. Going into Phase 3, which is really exciting, that's where we scale through licensing and partnerships. We're very excited about where we are. We are reaffirming our financial targets, $1 million to $3 million revenue in 2025, double- digit revenue in 2026 and cash flow positive in 2026 as well. Looking ahead, what should our investors what do they want? What should they look for? So we are in a phase now, again, this is about execution. Say what we do, do what we say. So in the balance of 2025, what our investor base should look for is announcements on us moving through the balance of our portfolio. So as we do our first commercial scale production of canola protein, our first scale -- commercial scale production of sunflower as an example. And then as we continue to grow recurring revenue, further announcements on commercial achievements that bring growing revenue to life for markets and our customer base and our investor base. With that, before I turn it over to the operator, again, I hope the 3 takeaways really for you all are: We have a facility that we've proven can produce our products at a cost and quality that fully enables our business plan. The customer response, the market growth you're seeing has exceeded expectations. And fundamentally, we are on track as a business to meet the commitments we made to the marketplace. With that, operator, I will turn it over to questions.
Operator: [Operator Instructions] Your first question comes from Dave Storms of Stonegate.
David Joseph Storms: I just wanted to start with maybe the production agreement. I know you mentioned that you're comfortable reaffirming your guidance of $1 million to $3 million. Is there anything more you can tell us about the production agreement though, maybe the length, any revenue recognition nuances, maybe the margin profile, anything like that?
Kip Underwood: Thank you, Dave. I think we can say a few things. One is we are executing against that agreement and a considerable amount of the revenue in Q1 came from that production agreement relative to -- and we continue to produce that will be a quarterly production for us moving forward. The margin structure, it is profitable for us. It is not as profitable as our own products, but it is in fact profitable. And maybe to reiterate the why we are doing this is these type of agreements help us with our facility, a facility that runs more often runs better. And this baseloads our facility. It helps us train our operators. It helps us run more often, which means we actually then run our own products better. So we're excited to have this agreement. It covers 5 years, and this will be a fundamental part of our growth, not just today, but in the future as well.
David Joseph Storms: Understood. And then so -- that's fantastic. Thinking about your own products and kind of the sales funnel that you mentioned, can you maybe help us understand how the top of that sales funnel is changing as you continue to go to expos, as you continue to launch new products? Are you seeing that sales funnel just continue to expand with traditional customers? Are you seeing any white space maybe open up that you didn't think was going to be there? Anything there would be helpful.
Kip Underwood: So I think the first is it continues to expand, and we're expanding it in very targeted ways for the type of customer and the type of food application where we deliver the most value. So that's the first piece. The second area where we're seeing white space, and this is -- we believed it was there, but we're getting customer affirmation is as consumers seek more plant protein, more and more brands are looking to put plant protein into new food forms or have new plant-based foods that taste better, that deliver against new customer or new consumer expectations. So think about maybe -- I mentioned plant-based cheese, maybe it's a cream cheese, maybe it's a condiment. We're seeing lots of activity for our technology in those areas that is really white space for our customer and for us. And really, it's where our technology is unlocking things that maybe either weren't possible before or weren't very good before. And now we're able to help our customers fundamentally change those things.
David Joseph Storms: That's very helpful. And then maybe just picking up that a little bit with regards to the expo that you had, when we're thinking about your portfolio using the expo as an example, were there any portions of your portfolio that had an exceptionally strong showing, maybe a strong showing relative to what your expectations were? Any maybe anecdotes there?
Kip Underwood: Sure. Thank you. I think the surprise for us, and we already acted on this was our FavaPro, our fava protein. We had that in our arsenal. We had sampled pilot material. And the market reaction on fava protein really far, far exceeded our expectation. There's a lot of excitement around it. And there's a good reason. Fava protein tends to work better in like a snacks or more of a savory opportunity. So this is one where the FavaPro, the samples did great. The market reaction or the customer reaction to our offering was great. And that's also why we pivoted and pulled FavaPro up in our priority list, and we're able to pivot and produce that commercially within a few weeks of the IFT trade show. And that was all driven by better-than-expected customer response and immediate opportunity for us to produce and hopefully sell in the near future.
David Joseph Storms: That's great. That's a great nimble story. And then maybe one more for me, more of a modeling question. We saw R&D and G&A expenses decrease pretty meaningfully year-over-year. How sticky should we think these expenses are? Is that going to maybe come in waves? Or is this a new normal as you focus on execution?
Kip Underwood: I guess that's a new normal, Dave. And I think the other thing I would say for modeling is we did have a decent amount of onetime start-up production costs. So those reductions will model moving forward, maybe slightly up as we do a little more R&D versus production. The other piece on the modeling, the considerable amount of our cost in the quarter on the production side was really onetime start-up costs. So the production side is not indicative of all -- of the ongoing cost for the business.
Operator: [Operator Instructions] Your next question comes from Bruce Lazenby of National Capital Investment.
Bruce Lazenby: I thought the insights into the sales cycle was particularly informative. I've lived that kind of sales cycle and it was frustrating as hell. But once you're in and done, then the downside, the ongoing bit kind of flows by itself, that's great. We can look forward to that. Two questions for you. There's no financing plans coming up. The cap table is going to remain pretty much as it is for the foreseeable future. And the second question is, I'm guessing there's no tariff implications, but these days, one has to ask.
Kip Underwood: Yes. So let me deal with the latter first. As of today, Bruce, there are no tariff implications to our business. We have really thought through the tariff side. So we have raw material sourcing from both Canada and the U.S. that both meet our quality and expectations and needs for cost and logistics. So we don't foresee anything here, anything on the tariff side impacting our business. And then relative to the financing, what I can say is we have a balance sheet that allows us to fully drive our business plan. And so our focus is to execute the business plan and grow. And then if for some reason, a new opportunity came to us, then we would evaluate that independently from the plan as it sits today.
Operator: Now I will hand over the call to Mr. Paul Lam, Director of Investor Relations and Communications for questions from the webcast. Please go ahead.
Paul Lam: Thank you, operator. We have one question from the webcast from Daniella [ Gaddadi ], a private shareholder. Question is, are you able to produce different proteins in parallel at the Galesburg facility? Or must different crops be treated sequentially?
Kip Underwood: Thank you for the question. So we produce one product at a time to ensure we have exacting quality and performance. What -- where I will add to that is a lot of the core competencies and how do you switch between products efficiently without impacting the overall cost structure. And the way we do that is every so often in a food process like this, you have to clean your process. So what you do is you schedule a product changeover when you have to clean the plant anyway, so that you're able to change between fava and canola or canola to pea protein efficiently and cost effectively. So one at a time to ensure exactly in quality and then a lot of work to be sure we can change between products efficiently and to ensure the right quality is adhered to.
Paul Lam: Thanks for that, Kip, and thank you for your questions. I don't see any more questions from the online webcast. I think we are good. Operator, back to you.
Operator: Thank you, everyone. That's all the time we have for questions today. At this time, this concludes our question-and-answer session. I would now like to turn the call over back to Mr. Underwood for any closing remarks. Please go ahead, sir.
Kip Underwood: Thanks, operator. And first and foremost, thank you to everyone here for allocating your time, for your interest and your investment in Burcon. We cannot thank you enough. Thank you for our team. We had a lot of people working really hard who believe in what we are doing, and it is an absolute joy to work side-by-side with them. I do want to note that we look forward to speaking to everyone again about a month from now at Burcon's AGM. There, we will go more in depth to our strategy, business update and outlook for the company. Again, that will be held on September 17 through a virtual webcast, and we look forward to speaking to everyone again. Thank you all again for your time today. Operator?
Operator: Before we conclude today's call, I would like to take a moment to read the company's safe harbor statement. This call contains forward-looking statements or forward-looking information within the meaning of the U.S. Private Securities Litigation Reform Act of 1995 and applicable Canadian securities legislation. Forward-looking statements or forward-looking information involve risks, uncertainties and other factors that could cause actual results, performances, prospects and opportunities to differ materially from those expressed or implied by such forward-looking statements. Forward-looking statements or forward-looking information can be identified by words such as anticipate, intend, plan, goal, project, estimate, expect, believe, future, likely, can, may, should, could, will, potentially and similar references to future periods. All statements other than statements of historical fact included during this call are forward-looking statements. There can be no assurance that such statements will prove to be accurate, and actual results and the future events could differ materially from those anticipated in such statements or information. Important factors that could cause actual results to differ materially from Burcon's plans and expectations include the actual results of business negotiations, marketing activities, adverse general economic, market or business conditions, regulatory changes and other risks and factors detailed herein and from time to time in the filings made by Burcon with securities regulators and stock exchanges, including in the section entitled Risk Factors in Burcon's annual information form filed with the Canadian Securities Administrators on www.sedar.com. Any forward-looking statement or information only speaks as of the date in which it was made and except as may be required by applicable securities laws. Burcon disclaims any intent or obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise. Although Burcon believes that the assumptions inherent in the forward-looking statements are reasonable, forward-looking statements are not guarantees of future performance, and accordingly, investors should not rely on such statements. Finally, I would like to remind everyone that this call is recorded, and the webcast will be available for replay on the company's website starting later this evening. Thank you, ladies and gentlemen, for joining us today for our presentation. You may now disconnect.